Operator: Good day, ladies and gentlemen and welcome to The Joint Corporation's First Quarter 2019 Preliminary Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Kirsten Chapman, LHA Investor Relations. You may begin.
Kirsten Chapman: Thank you, Tiffany. Good afternoon, everyone. This is Kirsten Chapman of LHA Investor Relations. Welcome to The Joint Corp First Quarter 2019 Preliminary Results Conference Call. Today, President and CEO, Peter Holt will review our operating metrics and our growth strategy. CFO, Jake Singleton will discuss our first quarter 2019 preliminary financial performance and Peter will close with our long-term vision and open the call for questions. Please note, we are using a slide presentation that can be found at ir.thejoint.com events. Today, after the close of market, The Joint issued its preliminary audited financial results for the quarter ended March 31, 2019. If you do not already have a copy of the release, it can be found in the Investor Relations section of the company's website. As provided on Slide 2; please be advised, today's discussion includes forward-looking statements including statements concerning our strategy, future operations, future financial position and plans and objectives of management. Throughout today's discussion, we will present some important factors relating to our business that could affect those forward-looking statements. The forward-looking statements are made based on current predictions, expectations, estimates and assumptions and are also subject to risks and uncertainties that may cause actual results to differ materially from the statements we make today. As a result, we caution you against placing undue reliance on these forward-looking statements and encourage you to review our filings with the SEC for a discussion of these factors and other risks that may affect our future results or market price of our stock. Finally, we're not obligating ourselves to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. Please note, in those states which require a licensed doctor of chiropractic and then the entity that offers chiropractic services, the company enters into a management agreement with a professional corporate operation known as a P.C. licensed in the state to provide chiropractic services. To increase transparency into operating results and to align with accounting rules, the company will now consolidate the full operations of the P.C. This will result in increases to our revenue and G&A expenses by identical amounts and would have no impact on our bottom line except in instances when the P.C. has sold treatment packages and wellness plans. Revenue from these packages and plans will now be deferred and will be recognized when the patient uses their visits. The company has previously consolidated its clinic operations in non-P.C. states such as Arizona and New Mexico and the deferred revenue around the packaging plans was already reflected in its financial statements. Therefore, these adjustments are isolated to the managed clinics and P.S. states. These adjustments will have no impact on cash flow. Based on our preliminary analysis, the recording of all the accumulated deferred revenue and one adjustment would represent a material change to the current period financial statements. As such, the company will revise the historical financial statements so the reader has a preliminary understanding that the comparative periods as reflected in the preliminary financial statements and in the commentary reflected in adjusted figures. Due to the accounting adjustments related to the consolidation of P.C. affecting the past five years, the company intends to file the SEC Form 12b-25 notification of late filing for the quarter ended March 31, 2019 and expects to file the 10Q with the SEC on May 15. Management uses EBITDA and adjusted EBITDA which are non-GAAP financial measures. These are presented because they are important measures used by management to assess the financial performance, management believes they provide a more transparent view of the company's underlying operating performance and operating trends. A reconciliation of net income or loss to EBITDA and adjusted EBITDA is presented in the press release. The company defines adjusted EBITDA as EBITDA before acquisition-related expenses, bargain purchase gain, loss on disposition or impairment and stock-based compensation expenses. The company defines EBITDA as net income or loss before net interest, tax expense, depreciation and amortization expenses. Turning to Slide 3, it is my pleasure to turn the call over to Peter Holt. Please go ahead, sir.
Peter Holt: Thank you, Kirsten. And thank you all for joining us. I'm delighted to speak with you today and pleased to report our continued forward momentum including seven quarter, consecutive quarters of positive adjusted EBITDA. We've moved beyond stabilizing the business and now are driving accelerated growth and profitability. We remain focused on delivering the key initiatives that drive the company's success, executing our franchise development and regional development strategies, accelerating expansion of our corporate clinic portfolio within clustered locations, improving corporate clinic performance, increasing new patient counts, stabilizing and improving the security of our IT platform, increasing cash and strengthening our balance sheet, achieving positive GAAP net income and increasing shareholder value. As a result, we've delivered one of the strongest quarters to date. I'll review the key metrics for Q1 2019 compared to the same period last year. We sold 30 franchise licenses compared to 16 in Q1 2018. We opened 12 new franchise clinics and two company owned managed -- company owned or managed greenfield for a total of 14 units compared to seven franchise and no corporate openings in Q1 2018. Turning to Slide 4, gross system wide sales grew 32% quarter-over-quarter. System wide comp sales or same store retail sales of clinics that have been opened for at least 13 months increased 25%. Our bottom line continues to improve reflecting sustainable profitability. Once again in this quarter, we've achieved positive GAAP net income of $1 million. And adjusted EBITDA was positive for the seventh consecutive quarter at $1.5 million. Further, our unrestricted cash and cash equivalents were what $8.1 million at March 31, 2019 compared to $8,7 million on December 31, 2018. Our strengthened balance sheet supports our expansion strategy. Before we get into the details, I'd like to welcome our newer investors and provide some background on our company. The foundation of The Joint is to revolutionize access to chiropractic care. We do this in a convenient retail setting providing concierge style membership-based services with no appointments, no insurance and convenient hours of operation including evenings and weekends. The Joint's purpose is to alleviate pain and help move our patients toward a healthier lifestyle. The sweet spot of the growing health and wellness industry. The Joint's mission is to improve the quality of life through routine and affordable chiropractic care. Our doctors focus on patient care, on the pain relief and ongoing wellness to help our patients live the best version of themselves. Patients are attracted to The Joint due to our accessibility, credibility and empathy as verified by the extensive consumer research we conducted in 2018. This architecture will guide us as we enhance our brand building efforts in 2019. Turning to Slide 5, let's review the portfolio during the first quarter. Regarding franchises, we opened 12 clinics, bought back one unit and closed one unit for a net increase of 10 bringing the total franchise count as of March 31, 2019 to 404. Regarding company owned or managed clinics, we opened our first two greenfield since 2016. The Carlsbad, California location grand opening was in February and the Azusa California opening took place in March. In addition, we've acquired franchise clinic in Los Angeles in March. In Costa Mesa, California, we consolidated two nearby corporate clinics into one. Net, the March 31 2019 we reached 50 company owned or managed clinics. Notably after the quarter closed. We opened our third greenfield clinic in -- for the year in Flagstaff. Further expanding our Arizona portfolio. We expect this to be the only additional corporate greenfield clinic in Q2. Our full year 2019 guidance is open to -- is to open eight to 12 company-owned or managed clinics. Through the end of April 2019, we grew our company portfolio by four consisting of three greenfield and one acquisition. This compares to one acquisition in the same period of 2018. At March 31, 2019, we had a total of 454 clinics, 89% were franchise clinics and 11% were company-owned and managed clinics. Turning to Slide 6, we continue to experience positive impact of our operational efforts. Traditionally, a well performing small box retail franchise achieves break even in six months to nine months. Thanks to the new operational tools and protocols that we developed. We've accomplished this goal. We've reduced the time from opening to break even from our historical average of 18 to 24 months to 9 months in 2017 and approximately six months in 2018. For our greenfield clinics, we are using the same programs to tame similar success. And our early 2019 trend is as strong or better than the 2018 class. Importantly, the impact of this success is ongoing as we have evidence that clinics that start strong, tend to stay strong. Turning to Slide 7, let's discuss one of our key growth drivers, our regional developer or RD program. Today, our RD support three quarters of our franchisees and cover almost half the metropolitan statistical areas in the United States. Their work enables us to leverage and accelerate The Joint franchise concept. RDs continue to perform to their expectation and were responsible for 100% of our 30 franchise license sales and some of these were multi-unit sales. Every April, we tend to experience a higher number of franchise sales prior to our annual update of the franchise disclosure document or the FDD. In April 2019, we sold 30 franchise licenses bringing the year to date to 60. This compares to 27 franchise license sales for the same period last year. Traditionally, we expect franchise license sales to be a little slower for the rest of the quarter as we go through each state's approval process for the new FDD. We closed the first quarter with 21 IDs identical to the number at the end of 2018. From time to time as the territory matures, we have the potential to repurchase or regenerate patriot the royalty stream. This quarter, we bought back the rights of South Carolina which had 23 operating units. We also continue to expand in newer regions. In March, we sold territory rights for Pittsburgh, Pennsylvania, West Virginia and a portion of Virginia to a longtime existing RD who originally purchased the rights in North Carolina and is seeking to expand his business. This territory carries a minimum 10-year development schedule of 40 units. In aggregate, our total 10 year minimum development schedule for the 15 new RDs comes to 421 clinics. This large foundation of unit commitment bodes well for continued clinic expansion and sales growth in 2019 and beyond. Turning to Slide 8, let's review marketing. We continue to work to enhance our marketing methodology and optimize our tactics not only in lead generation but also in awareness building and existing patient engagement. Our marketing foundation is built upon a robust SEO practice which delivered a record number of organic leads to our clinics in Q1 and which is increasingly important source for new leads for us. We've also improved our ability to convert these prospects by enhancing our lead nurturing campaigns and training our franchisees on how to leverage our tools. We're also utilizing digital marketing tactics to boost the overall awareness of the brand and the benefits of chiropractic care. For example in Q1, we aired TV spots to targeted customers in each of our clinic trade areas via the YouTube platform. We believe campaigns like these are helping to attract people who've never tried chiropractic before which now compromises 26% of our new patient. We're working to grow collaboration and investment by our local advertising co-ops. One example of this is our Raleigh Durham co-op which recently entered into an exclusive partnership with famed minor league baseball club, the Durham Bulls. This strategy is paying dividends in marketing throughout the country allowing increased marketing sophistication at the local level. In 2019 we'll add this increased effort on our patient relationship or CRM marketing through tactics like email and SMS. Additionally, we're actively developing new advertising assets for our franchisees, leveraging the insights gained from our 2018 consumer research and our new brand architecture. Turning to Slide 9, we continue to be excited about the progress in implementing our new more robust IT platform. We've completed the design and development stage and now are in the testing and training. Frankly, we've been very deliberate with our testing and training to ensure we minimize the impact to our business as we go through this transition. Ultimately, we believe that we can use this platform to better understand our patient behavior, laying the foundation for even more sophisticated consumer marketing. Overall, we continue to deliver strong quarterly performance and we believe that we're well-positioned to drive continued momentum. And with that, I'll turn the call over to Jake Singleton, our CFO to review the financial results.
Jake Singleton: Thank you, Peter. Before I review our preliminary financial results, I'd like to address an accounting adjustment we made regarding a portion of our corporately managed clinics. Certain states require a licensed doctor of chiropractic to own the entity that offers chiropractic services. In those states, we enter into a management agreement with a professional corporation or PC which is licensed in that state to provide chiropractic services. The Joint Corp provides management services to the PC and in turn the PC pays a fixed management fee each month. Historically, we recognize these management fees and the period in which they were received. Net of certain expenses incurred by the PC to provide patient care. While these expenses lowered our GAAP revenues. They also reduced our general and administrative expenses. To increase transparency into our operating results and to align with ASC A10 which addresses the consolidation of variable interest entities. We will now consolidate the full operations of the PCs. This will result in increases to our revenue and G&A expenses by an identical amount and will have no impact on our bottom line except in instances where the PC has sold treatment packages and wellness plans. We will now defer packaging plan revenue for clinics in PC states and will recognize revenue when patients use their visits. The company has previously consolidated its clinic operations in non-P.C. states such as Arizona, New Mexico and deferred revenue around packages and plans in those states and they are already reflected in our financial statements. Therefore, these adjustments are isolated to the managed clinics and PC states. These adjustments will have no impact to cash flows. Based on our preliminary analysis, the recording of all accumulated deferred revenue and one adjustment would result in a material change to the current period financial statements. As such we will revise the historical financial statements so that you understand the comparatives as reflected in the preliminary financial statements. The following commentary reflects these adjusted figures. As Peter mentioned, we continue to deliver strong growth across all our metrics. For this section, I will compare first quarter 2019 to the first quarter of 2018. Gross sales for all clinics open for any amount of time grew 32% to $48.9 million. Systemwide comp sales for all clinics open 13 months or more increased 25% and significantly systemwide comp sales for mature clinics open 48 months or more increased 18%. Turning to Slide 11, revenue for Q1 2019 grew to $10.7 million up $2 million or 24%. Corporate clinics contributed revenue of $5.6 million increasing 17% from a year ago reflecting improved marketing and increased adoption of chiropractic care. Franchised operations contributed $5 million of revenue up 31% compared to last year. This growth reflects the same benefits as our corporate clinics driving greater sales from existing clinics plus the sales from 45 additional clinics. Cost of revenues was $1.2 million increasing 24% over the same period last year, as cost of revenue is largely driven by regional developer royalties and commissions. The expense increase reflects the success of this program. At the end of the quarter, we had 21 RDs responsible for 100% of the franchise license sales. Gross profit increased 23% to $9.5 million. Selling and marketing expenses were $1.5 million or 14% of revenue in Q1 2019 compared to $1.1 million or 13% of revenue in Q1 '18, reflecting the increased local marketing spend on corporate clinics including the extra spend associated with the grand opening of corporate greenfield clinics. General and administrative expenses were $6.6 million or 61% of revenue compared to $6.3 million or 73% of revenue in Q1, 2018 reflecting the leverage in our operating model. We posted positive GAAP net income for the second consecutive quarter. Net income was $1 million or $0.07 per diluted share compared to a net loss of $32,000 or $0.00 per share for Q1, 2018. The improvement reflects the strengthening operations by our existing corporate clinic portfolio and franchises that are increasingly using our tools and protocols as well as the fact that our newer cohorts have stronger performance which is increasing their impact on -- on an ongoing basis. Total adjusted EBITDA in Q1 2019 was positive for the seventh consecutive quarter at $1.5 million improving $1 million compared to adjusted EBITDA of $511,000 in Q1 '18. Franchise adjusted EBITDA income increased 32% to $2.4 million. Corporate clinic adjusted EBITDA income increased to 50% to $1.2 million and corporate expense adjusted EBITDA loss was maintained at $2.1 million. Regarding the balance sheet, as of March 31, 2019, cash and cash equivalents were $8.1 million compared to $8.7 million at December 31, '18. The decrease reflects year-end bonus payments and investment in greenfield clinics offset by increased cash from greater gross sales and increased franchise sales. Turning to Slide 12. As we entered in the New Year, we've updated our unit economics charts. Today, we've included the version from the franchisee perspective which reflects the success of our newer cohorts as they're faster time to break even. The key message is that our newer cohorts are significantly outpacing older clinics reflecting operational and marketing excellence we've put in place over the last three years. On to Slide 13 to review guidance. Based on our preliminary financial results, we are reiterating the full year 2019 guidance expecting the same percentage increases over the adjusted 2018 results. Please note that with the new accounting policies in place, we expect revenues to grow at a smoother trajectory due to the deferment of revenues generated from sales and packages. This will have the largest impact during the fourth quarter when we perform our year end promotions. Regarding expenses, the National Franchise Conference will increase expenses in the quarter in which it occurs which this year is the second quarter. For the full year 2019, based on preliminary financial results, we continue to expect our revenue to increase between 26% and 32% compared to $36.7 million in 2018. Adjusted EBITDA to grow between 67% and 100% compared to $2.9 million in 2018. Franchise clinic openings to range from 70 to 80 and company-owned or managed clinic expansion through a combination of both greenfields and buybacks to range from 8 to 12. And with that, I'll turn the call back over to Peter.
Peter Holt: Thanks, Jake. Turning to Slide 14, according to a recent study carried out by the Yale School of Medicine at Yale University, patients who have experienced -- who visited a chiropractor for musculoskeletal pain and associated conditions are 49% less likely to be issued and to receive an opioid prescription when compared to their counterparts who sought help from other health care providers. This bodes well for our nation and for our marketing opportunity as we work to address this increasing need for drug free solutions to help solve the opioid obesity and pain epidemics. Turning to Slide 15, overall our hybrid model for franchise and company-owned or managed clinics enables us to expand in a capital light fashion. Our enhanced marketing is generating sales growth rates that lead the range for small box retail and franchise concepts and our greater operating efficiency is increasing operating leverage. These improvements are being amplified by the growing market opportunity, as we build our national brand and scale our clinics. We expect the momentum to continue to increase and to deliver value to shareholders. Before I'd open it to Q&A, I'd like to share some events in May and June. On May 23, we'll be presenting at the B. Riley 20th Annual FBR Institutional Investor Conference in Beverly Hills. On May 29, we will be at the Craig Hallum 16th Annual Institutional Investor Conference in Minneapolis and on May 31,we'll hold our own annual meeting of shareholders here in Scottsdale. And finally, on June 3, we're excited to host our first Investor and Analyst Day also here in Scottsdale. For more details, please contact our LHA Investor Relations. Finally, I'd like to thank our franchise community, our RDs, our employees for their remarkable contributions to the health and growth of this company. This progress would not be possible without their commitment and hard work. Tiffany, I'm ready to begin the Q&A.
Operator: [Operator Instructions] And our first question comes from Brooks O'Neil with Lake Street Capital. Please proceed.
Brooks O'Neil: Thank you and good afternoon, guys. Congratulations on the continued progress.
Peter Holt: Brooks, thank you very much.
Brooks O'Neil: So I'd like to just confirm, I know you probably said this once, Jake and I think, Kirsten said it once as well but these accounting adjustments really do not reflect any material fundamental change in the business or the business dynamics right?
Jake Singleton: I think you got it, Brooks. The core momentum of this business is exactly the same. This is an accounting entry to consolidate these but the largest impact is really neutral to the bottom line. So I think you have it right.
Peter Holt: Well quite frankly, we talked about it. Brooks, it that actually gives greater transparency on our corporate clinic performance because now that we are consolidating the PCs into the overall portfolio whereas before, we would see a suppression in revenue and a suppression in expenses. Now that all flows through and so you'll see that much more clearly.
Brooks O'Neil: Well, I think that's good. Let me just ask you a -- somewhat different question, is, I have heard sort of anecdotally that there may have been some gradual, let's call it strengthening although I'm not meaning to guessed any dispersions on your store franchisee community but it sounds to me like perhaps, you've had success attracting some perhaps larger deeper pocketed more experienced franchisees, who are interested and capable of opening a greater number of units and controlling them over time. Can you just give us any color on a, whether that's accurate and b, whether you know what's going on.
Peter Holt: Brooks, I think that's a fair reflection of the quality of franchisees that are being drawn into this network. Absolutely. That we are still having more of our existing franchisees who are buying new clinics. So I think of the 60 clinics that we had, I want to save 40% of them were from existing franchisees but we are also attracting those newer franchisees and for example there has been a -- two of the sales that comes to mind is that they existing Planet Smoothie excuse me Planet Fitness franchises that already have a very sophisticated number of units in their territory. They're sold out, they're looking for additional ways to invest and leverage the overhead they have in place to support the franchisees they have in that territory. And that we have two of whom, who have just signed to a couple of multi-unit agreements in Florida. And I think if you were to talk to our VP of Sales, he would absolutely reaffirm that he's seen a higher quality of franchisee with more experience coming in as we see these franchise sales accelerating.
Brooks O'Neil: That's great. I think that's a huge deal and I'm -- I continue to be really excited about the development you're doing. So congratulations, keep up the good work.
Peter Holt: Thank you very much.
Operator: [Operator Instructions]. Our next question comes from Mike Malouf with Craig-Hallum. Please proceed.
Mike Malouf: Great. Thanks for taking my questions.
Peter Holt: Mike, how are you doing?
Mike Malouf: I'm doing well. Can you talk a little bit about as far as the percent of package and packages that run through the P&L. Just give us a sense of that.
Jake Singleton: Absolutely. So historically, 79% of our revenues are generated from the wellness plans. So that continues to be the overarching majority of our gross sales. The packages come in depending on the period somewhere between 10% and 12% of gross sales and the rest is made up of those walk in visits.
Mike Malouf: And then a question, overall. You've had a lot of exposure here of turning around the system and my congrats to. Well done for you and your entire team. When you take a look at competition though now are you seeing any resurgence there either it's from maybe perhaps some smaller chains that are trying to emulate you or perhaps some reinvigorated mom and pops out there. Love some color on that. Thanks.
Peter Holt: Mike, that's such a great question and as you look at the only real national franchised chiropractic chain out there, it's called Health Source. Is that quite frankly, they have been shrinking in size in -- overall their portfolio compared to our growing in size and part of that is that they are still a traditional insurance-based model. It's more of a shared services so they've been attracting existing chiropractic clinics they convert into their system and clearly for whatever reason that those clinics aren't staying with them as they've gone forward. You're right to note that we are being or how do I say this. There's a lot of franchise owners out there that are trying to replicate our experience. And so I was looking at one recently in Texas, where if you go to their website and look at the clinic and the memberships and packages they're offering, the only difference there, they don't -- you don't see your name on it. I was at a IFA National Conference in February and I was moderating the panel and this young man came up to me and he said, hey I've got this chiropractic chain of six clinics in Connecticut and what can you do to help me. And so I told him, he should learn more about franchisee. But yes, we will continue to spot our competitors. I haven't seen anybody out there that has any significant momentum and we do careful scans on a regular basis of just keeping our pulse on the marketplace. At this point, we have such a strong first mover advantage that it's going to be hard for anybody to catch up to us in this specific model that we're working but we always have to be thoughtful.
Mike Malouf: Great, appreciate it. Thanks.
Operator: [Operator Instructions]. And with that, this concludes our Q&A session for today. I'd like to turn the call back over to CEO, Peter Holt for closing remarks.
Peter Holt: Thank you, Tiffany and thank you all for your interest. As you know, we've been sharing patient testimonials on these calls and today, I want to tell you a very personal experience I recently had in one of our clinics, three years ago, we implemented an annual clinic visitation day program, where we closed down our corporate headquarters and send the entire staff to the field to work for a full day in the clinics. The experience gives our corporate team a greater insight into the day to day operations of our clinics and a deeper understanding of the impact that we're having on the patients that we serve. During my visit to a clinic in the Phoenix area, I was sitting at the wellness coordinator desk when a woman in severe pain walked in. She explained that she'd thrown her back out four days ago while she was sitting on the couch and nothing was making it better. Her pain level had reached 11 on a scale of 1 to 10. Out of desperation, she came to The Joint, having never been to a chiropractor before and she had very little understanding of how chiropractic care works and quite frankly was very scared. And but she couldn't pain -- couldn't bear the pain for any longer. After examination consultation and adjustment the treatment she received lowered her pain to a two on that scale, greatly relieved of her pain, she hugged the doctor and claimed, she was a miracle worker. It was incredible to witness her transformation in person. It's experiences like these that validate the life-changing care that The Joint is providing to patients across the country. Thank you and stay well adjusted.
Operator: Ladies and gentlemen. Thank you for your participation in today's conference. This concludes the program. You may now disconnect. Everyone, have a great day.